Operator: Greetings, and welcome to the F.N.B. Corporation third quarter 2014 earnings conference call. (Operator Instructions) I would now like to turn the conference over to your host, Cindy Christopher, Manager of Investor Relations. Thank you. You may begin.
Cindy Christopher: Thank you. Good morning, everyone, and welcome to our earnings call. This conference call of F.N.B. Corporation and the reports it files with the Securities and Exchange Commission often contain forward-looking statements. Please refer to the forward-looking statement disclosure contained in our earnings release, related presentation materials and in our reports and registration statements filed with the Securities and Exchange Commission and available on our corporate Web site. A replay of this call will be available until October 30th, and a transcript and the webcast link will be posted to the Shareholder and Investor Relations section of our corporate Web site. I will now turn the call over to Vince Delie, President and Chief Executive Officer.
Vincent Delie: Good morning, and welcome to our earnings call. Joining me today are Vince Calabrese, our Chief Financial Officer; and Gary Guerrieri, our Chief Credit Officer. I will be highlighting our operating performance and providing a strategic overview. Gary will review asset quality, and Vince will provide further detail on our financial results, and then open the call up for any question. Let's begin by looking at the quarter. Operating results included continued high quality earnings, with year-over-year revenue growth, strong loan growth, solid deposit growth, excellent asset quality, a favorable efficiency ratio and stronger capital levels. Operating net income available to common shareholders was another record high at 35 million and resulted in $0.21 per diluted share, a penny increase from the prior quarter. On an operating basis, this translates into a 107 basis point return on average tangible assets, and a 15% return on average tangible common equity. Average organic loan growth was strong at an annualized rate of 16%, led by 15% growth in the commercial portfolio. While commercial remains a growth driver, all portfolios contributed to the quarter's positive results. The consumer book delivered a very solid quarter with 19% annualized organic loan growth and favorable results across product lines, including indirect auto and the home equity portfolio. Organic growth on a spot basis was also strong, and pipelines remain healthy as we enter the fourth quarter. Organic growth in average transaction deposits and customer repos was 9%, led by 24% annualized growth in non-interest bearing deposits. Non-interest bearing balances accounted for 22% of total deposits in repos at quarter end. And our deposit mix and funding position remain strong with the loan-to-deposit ratio including customer repos of 89%. When looking at results on a regional level, we experienced growth across all markets with a significant concentration coming from our metro markets of Pittsburgh, Baltimore and Cleveland. Looking specifically at the newer Baltimore and Cleveland markets, our success continues to exceed our original expectation. We are in the early stages of deploying our strategy with only one of the past four acquisitions, Annapolis Bancorp exceeding the one-year mark. These markets present tremendous opportunity, and as we continue to gain momentum, we're confident that the teams we have in place will contribute meaningfully to FNB's overall results. The acquisition of OBA Financial was completed on September 19th, and we welcome OBA's employees, clients and shareholders. I'd also like to recognize the FNB team for another seamless integration, our ability to integrate consecutive acquisitions from due diligence through conversion as a distinguishing core competency. Over the past 17 months, we've converted four banks. With the addition of OBA's 400 million in assets, we've assembled a scalable presence in the Maryland market that stands at over 1.4 billion in assets with 31 locations. From a market position, our presence has now expanded to the demographically attractive I-270 corridor. Financially, the transaction is capital accretive as evidenced by the 16 basis point increase in the tangible common equity ratio, which stands at 6.9% at quarter end. Given its relative size, we look for EPS accretion following the first full year. I want to remind everyone that our movement into Baltimore and Cleveland was very deliberate and strategic. In order to manage through a challenging economic environment and deal with regulatory imposed costs and revenue loss, while maintaining our growth trajectory and risk management philosophy, we determine that we would need to add scale and expand our footprint and universal prospects. A significant amount of effort was put forth by our team to assimilate the past four acquisitions. And it is important to note that for the first time in 24 months, we do not have a pending acquisition. Now, as a result of our expansion strategy, FNB is extremely well positioned to drive high quality sustained organic growth. Slide 8 illustrates the significance of our opportunities. With our expansion into Maryland and Cleveland, we have effectively increased our potential client base by 54% when measured by total population. Our overall demographic profile has improved, and importantly, our potential commercial prospects have expanded by over a 144,000 or double the prospects in our legacy community footprint. This will benefit FNB in the future through organic growth, scale-driven efficiency, and the geographic and prospect diversification enhances our ability to maintain our lower risk profile. Before turning the call over to Gary and Vince, the first nine months of 2014 have been very successful for FNB. We've delivered high quality operating results and made significant progress on many strategic initiatives. Looking at year-to-date trends over the past three years provides insight into our progress and the challenges we have successfully managed through. Year-over-year revenue has grown 15% and 20% when compared to the last year in 2012. This revenue growth was achieved despite a 10 to 12 million annual Durbin-related revenue loss. Since the beginning of 2012, we have achieved linked quarter revenue growth in 10 out of the 11 quarters. With revenue growth rate exceeding the expense growth rate we have achieved improved operating efficiency. As an example of the contributing initiative, since 2012 we have repositioned our retail delivery channel due to consolidation of over 40 branches and the opening of eight de novo locations. Average deposits per branch have increased 16% over this time. The efficiency ratio has improved to 57% from 59% in 2012. Year-to-date pre-tax, pre-provision EPS has increased 4% on a year-over-year basis and 6% compared to 2012. We have strengthened our capital levels. The TCE ratio has grown over a 100 basis points since the beginning of 2012 to 6.9%, an improvement that has occurred through the completion of four acquisitions, given their neutral to capital accretive impact, and as a result of our October 2013 capital raise. In addition to the industry-wide challenges based over this time, including the interest rate environment and increased regulatory related costs, we have been faced with FNB-specific challenges in order to grow the franchise value of the company. Most significantly, the Basel III related capital issuance has negatively impacted current year-to-date earnings per share by $0.04 per share. This combined with Durbin revenue loss resulted in $0.06 negative EPS impact compared to the prior nine-month period, and has [masked] (ph) the underlying core operating performance of FNB. Looking ahead, these items are fully embedded in our run rate. When considering these results, recall that we're only now beginning to realize the full potential benefits from our recent acquisition. And as I mentioned, we expect momentum to build. On a final note, FNB was recently recognized by the Pittsburgh Post-Gazette as a top workplace; placing first in the large employer category based on a survey of over 1200 companies conducted by WorkplaceDynamics. This is the first time we have received a number one ranking in the large employer category and the fourth consecutive year to be named a top employer. Congratulations to the entire team on this recognition, which validates FNB's distinction as an employer of choice. As a management team, I'd like to reiterate that we believe FNB's fundamentals are exceptional, particularly in the face of the challenging environment. I look forward to sharing our continued success and progress as we complete this year and enter 2015 better positioned. With that, I will turn the call over to Gary, so he can share asset quality results.
Gary Guerrieri: Turning first to the originated portfolio at $9.2 billion, the level of NPLs and OREO improved during the third quarter to 1.25%, representing 11 basis points linked quarter reduction. Delinquency also improved over already solid levels to end September at 1.06%. Quarterly net charge-offs at $6.5 million or 29 basis points annualized remain at a good level, and are tracking slightly better than our 2014 targeted levels. The originated provisions of 9.9 million increased during the third quarter by $1 million to support our continued loan growth, resulting in an ending reserve position of 1.24%, a slight decline from the second quarter following improved credit metrics and reduced problem loan levels. I'd now like to touch on our core lending and credit underwriting philosophies. As Vince mentioned earlier, the number of credit prospects in our markets has doubled in just the last 18 months with the Baltimore and Cleveland expansions providing significant new lending opportunities. This abundance of new prospect being generated across these metro markets enhances our ability to be very selective in our credit decision-making process, while continuing to meet our internal growth objectives. By carefully evaluating each opportunity we can effectively manage risk, diversify our loan portfolio across greater geographies and borrowers within our footprints, and maintain our stringent, disciplined underwriting and approval standards just as we've always done in the normal course of business. These moves have positioned us favorably to remain selective and focus only on the highest quality credits and borrowers. I'd now like to turn your attention to our $1.7 billion acquired loan portfolio carried as fair value, which includes $300 million from the OBA acquisition. The delinquency level in the acquired book at $68 million decreased significantly on a linked quarter basis, down $21 million, a majority of which occurred in the 90 plus category. This large improvement is reflective of the collaborative and proactive approach we've taken managing our problem assets on an ongoing basis. The continuous efforts of our credit officers, commercial bankers and experienced work out team were clearly visible this quarter, as we were able to resolve, exit or upgrade a number of problem credits. Several factors contributed to this very positive action, including pay-downs resulting from the sale of collateral by various borrowers, upgrades on credits that we've been closely monitoring and working with, [loan] (ph) sales and refinancing by more aggressive lenders as credit eases. As it relates to the OBA acquisition, this portfolio was converted during the quarter and is positioned in line with our expectations, highlighted by very low delinquency. The smooth integration of OBA demonstrates the continued success we've had in managing our acquired portfolios throughout the entire M&A process and thereafter. As we're prepared to finish out 2014, we can reflect back on what has been another successful quarter, marked by positive performances in both our originated and acquired portfolios that support our high quality earnings, as well as the integration of OBA. Looking ahead, we'll continue to leverage the knowledge and experience of our banking teams to manage our book using the same consistent and balanced approach that has positioned us to where we are today. I'd now like to turn the call over to Vince Calabrese, our Chief Financial Officer, for his remarks.
Vince Calabrese: Thanks, Gary, and good morning, everyone. Today I'll discuss the third quarter's operating performance and provide high level guidance for the fourth quarter. Overall, the quarter's results exhibited the continuation of our strategy to organically grow loans and deposits, benefit from diversify revenue sources and closely manage expenses and risk in order to deliver high quality leading profitability. With the completion of OBA on September 19th, we also benefited from our M&A strategy, adding 400 million in assets, 300 million in loans and deposits with this capital accretive transaction in a very attractive market. Looking at the balance sheet on Slide 13, quarter again included strong organic results with average loans growing 15.7% annualized driven by commercial loan growth of 221 million or 15.3% annualized. As we discussed on last quarters call, our commercial loan pipelines were at a record high at June 30th, which combined with the benefit of our expanded footprint and another quarter of robust activities footprint-wide resulted in a stronger than expected quarter for loan growth. Organic growth and average consumer loans was also very good at a $153 million or 18.9% annualized. These results were led by combination of organic growth and consumer home equity loans of $91 million and indirect auto loans of $62 million, representing a record month of September for indirect lending business. For the fourth quarter, we're targeting organized, organic -- excuse me, annualized growth in a mid to high single-digit range. Our core funding mix further strengthened with organic growth and non-interest bearing deposits of $144 million or 24% annualized continue to deploy our strategy focused on bringing in these valuable funds. On an organic basis, average transaction deposits and customer repos increased a $195 million or 8.6% annualized, while average total deposits and customer repos increased a $102 million or 3.4 % annualized, despite a 93 million decline in time deposits. During the quarter, new business account acquisition was solid, and we also benefited from larger relationships with seasonally higher balances. For the fourth quarter, we expect organic annualized growth in the low single-digits. Looking at net interest income and margin, net interest income grew 6.5 million or 5.6% as the result of strong average earning asset growth of 3.8%, a relatively stable cost of funds and higher accretable yield adjustments of $4.1 million. The reported net interest margin expanded three basis points to 363, benefiting from strong average earning asset and deposit growth and the higher accretable yield. Recall that accretable yield adjustments can move quite a bit from quarter-to-quarter. I should also mention that this quarter's accretable yield was partially offset by 800,000 in increased provision for loan losses related to the credit actions Gary discussed earlier. Positive margin benefits were offset by lower yields on the significant new loan volume we generated over the past two quarters. This is more a function of credits rolling off at higher rate than new volume rates, which on average have not changed significantly over the past year. To put this in perspective, our guidance on last quarter's call was for continued modest narrowing throughout the second half of the year with this quarter's core narrowing several basis points higher than previously projected. There are several items contributing to this, including the current rate and competitive environment have resulted in narrower spreads to strong loan volume we have generated over the past two quarters. We'll continue our same strategy to manage the balance sheet through our diligent ALCO and pricing processes and align our objectives with the field. We like the position of our balance sheet at this point in this cycle with a relatively short duration of 3.5 for the securities portfolio and a favorable loan portfolio mix with 58% of the portfolio variable or adjustable, and over half of that re-pricing in the next 12 months. On the deposit side, 78% of total deposits and customer repos are core transaction-based deposits, and 22% are in non-interest bearing balances. Year-to-date results for wealth management reflect solid results with total revenue increasing 11% compared to the prior year as we benefit from our newer markets and our continued success generating new business. Non-interest expense, excluding merger and severance costs increased 1.6 million or 1.7 % with the increased due to seasonally higher marketing expense and increased accruals for performance-based compensation. Absent these expense items, core non-interest expense would have been flat, compared to the prior quarter. Third quarter efficiency ratio was 56.7%, improved from 57.3% to 59.7% in the prior and year ago quarters respectively. As Vince discussed, diligent expense management remains the focus for us, and we've undertaken several actions company-wide over the past several years. These include more stringent vendor management, branch repositioning and effective personnel management. These are all necessary to improve efficiency during a period where regulatory-related costs continue to build. Through the last quarter of the year, we expect non-interest income to be consistent with third quarter levels and non-interest expense to reflect the first full quarter of OBA's operating expense. Gary discussed our positive asset quality results with you. We expect consistent results through the end of the year and provision for loan loss to remain around third quarter levels. Turning to capital, the linked quarter increase and the September 30th capital ratios reflect expected benefit from the capital accretive OBA acquisition. In summary, we're very pleased with our results this quarter in a continuing challenging operating environment for banks throughout the country. Quarter's results were characterized by continued revenue growth, enhanced efficiency, solid profitability metrics, meaningful improvement in asset quality from already good levels and bolstered capital ratios. I'd like also to comment our team on another very successful integration during the quarter. It is through the efforts of our entire team that have positioned us strongly as we look forward to closing out another successful year beginning to realize additional benefits from our metro market expansion strategy. Now, we'd like to turn the call over to the operator for your questions.
Operator: Thank you. (Operator Instructions) And our first question comes from the line of Bob Ramsey with FBR. Please proceed with your question.
Andrew Karp - FBR: Hey, good morning. This is actually Andrew Karp on the line for Bob. On the M&A front, I know there's something pending, but have you guys have any discussions recently on that and are you looking to make a move maybe in the near-term?
Vincent Delie: Well, we typically don't comment on our pending M&A activity, but I will tell you that as we stand today, we're fairly focused on continuing the benefit from the integrations that took place over the last few years with the acquisitions that we've done, and we've not changed our position relative to opportunities. We have a very stringent criteria for acquisition candidates, and if we can embellish what we've done, we certainly would be open to looking, provided that the opportunity would provide the company with EPS accretion in the first full year and hit the threshold from an IRR perspective that we seek. So that's the best I can tell you. The acquisitions that were completed over the last few years have -- in our estimation they're performing better than we had anticipated. We're just about fully staffed in all of the markets. We've been able to recruit some very talented bankers across the footprint, and our metro strategy is providing the opportunity for us to grow in a very competitive climate without taking on additional risks. So, our view is that the deployment of the resources in the metro market is doing exactly what it had intended to do.
Andrew Karp - FBR: Thank you. And just looking at the efficiency, do you have a number that you're targeting both for the fourth quarter and for the '15? I know it's been on the way down, but I think mid 50s or something that have been said, I want to see first on that range?
Vincent Delie: I would say we have historically talked about mid 50s, and as you know from our results, we've been able to continue to improve the efficiency ratio, particularly relative to the peers, but also on an absolute basis too. And I think the expansion strategy we've deployed is helping us to grow revenue faster than expenses, and positive operating leverage is obviously contributing to that. I mean we don't have a set number we're looking to. We're looking to continue to improve it. The mid 50s is kind of a goal that we've talked about without a specific timeframe, but we expect there are still rooms to continue to improve from the third quarter level.
Andrew Karp - FBR: All right, thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Collyn Gilbert with KBW. Please proceed with your question.
Collyn Gilbert - KBW: Thanks. Good morning, guys.
Vincent Delie: Hi, Collyn.
Collyn Gilbert - KBW: Vince, if I could just get a little bit more color on the discussion that you had on the newer loan yield originations are lower than what's rolling off, and specifically in the indirect side, to the 120 million of production that you spoke of, what was the rate that you saw there?
Vincent Calabrese: I would say a couple of comments. As I stated in my prepared remarks, we had significant growth over the last six months, I mean, over $700 million. The origination rates in spreads are down less than 25 basis points if you look year-over-year. So [the folks] (ph) rate it down inside of that, but we're putting them on to about 50 to a 100 basis points lower than the rates on the loans that are paying down or paying off, which is normal in this rate environment, what's different is we had such a huge volume of growth in the second and third quarter. Also, I should point out that part of the impact on the yields is that a good portion of our lending business is short and a lot of it is -- 40% for example is tied to primary LIBOR and as I mentioned earlier, 60% is adjustable variable. So you're also putting stuff on it at the shorter end of the curve which obviously has lower rates. On the indirect, I don't know …
Gary Guerrieri: The margin is in the mid 350s on the indirect portfolio, on the newer originations. And that's very short paper, Collyn, it's averaging about 2.5 years.
Collyn Gilbert - KBW: Okay. So when you say the margin, that's the spread that absolutely yield higher than that. Okay.
Gary Guerrieri: That's correct.
Collyn Gilbert - KBW: Is this all a paper?
Gary Guerrieri: It is. It's a very solid paper, average FICOs are in the -- nearing mid 750 range.
Collyn Gilbert - KBW: Okay. That's helpful. And then, Vince just on that thought then, just thinking about the name and the trajectory, so you had indicated that maybe we'd see modest compression in the fourth quarter. I guess then that would suggest that the environment you expect it to improve because I think going into the third quarter was modest [inception] (ph) -- modest compression came at seven basis points, I guess on a core basis. So do you think pricing starts to stabilize? Do you think volume start to slow, or what drives your comment in thinking that the compression in the fourth quarter will be less than the third quarter, on a core basis?
Vince Calabrese: Sure. The best way to actually talk about it is you guys have the slides in front of you. Slide 14 is really the key slide to discuss the margin.
Collyn Gilbert - KBW: Yes.
Vince Calabrese: Now, I guess let me make a few comments on it. As we've said in the past, the accretable yield will be lumpy each quarter. It obviously depends on the re-estimation of cash flows in the level of activity we have resolving in acquired loans. As Gary discussed in his remarks, we have very proactive approach to moving problem or potential problem assets off the books. This quarter environment was right; we were able to resolve more than what we'd achieve in a normal quarter and realized the accretable yield benefit, while the margin benefited from that, (indiscernible) is up to the 363. The seven basis point compression is obviously driven by the new loans we just talked about. We also termed out some borrowings by 150 million in August at array of 161 for 4.5 years. So in the short-term that reduces margin, but in the longer term obviously that's going to benefit us in the longer term. On the other hand, DDA growth as you saw in our numbers was very strong and that continues to support the margin obviously, and we expect that to continue the success our teams have in bringing imbalances and the expanded footprint with the metro market strategy. And then when you look at the year-to-date on the Slide 14, you can see that the margin nine months of '13 and nine months of '14 cores down four basis points. So from 362 to 358 and as you can see at the top, net interest income is actually up 18%. Part of the seven basis points is just the sheer volume of what we put through plus the funding side and the investments rates on securities were pretty low during the quarter too. So I think as we look ahead to the fourth quarter we'd expect the loan growth to be a little bit slower than what we put on. Some of it's seasonally higher in the third quarter on the consumer side. So we're comfortable with modest narrowing from here, third quarter to fourth quarter.
Collyn Gilbert - KBW: Okay. That's super helpful. Thank you. And then just a question on expenses, again Vince, in your comments you had said that if you back out some of the higher marketing expenses and accruals, the core number would have been flat. And I think again going to the third quarter, you were thinking like a flat expense level, so just trying to get a sense of the run rate from here, is that like a $91 million run rate, is it $93 million run rate, just trying to think about -- again, the trajectory from here?
Vincent Delie: Yes, I would say it's more like the latter and with OBA coming on; it came on late in the quarter that adds about 2.5 million in run rate expenses to the fourth quarter. You only saw a little bit of that in the third quarter obviously. So it would be more of the 93, 94, kind of level as opposed to 91.
Collyn Gilbert - KBW: Okay. And is there something that's changed or increases in investments that you're making or something that's causing that pick up I think from what I think would have been like a $91 million expense level in the third quarter. Had it been flat from the second quarter?
Vincent Delie: No. It's really nothing unusual. I mean the main thing is adding OBA into the mix. So it's nothing particularly unusual in the fourth quarter versus the third quarter. We did have the few items we talked about. We had some additional incentive accruals that we booked, and then on the marketing side was seasonally high. But there is nothing as you said here look ahead for the forecast for expenses for the fourth quarter, other than OBA coming in.
Collyn Gilbert - KBW: Okay.
Vincent Delie: Nothing unusual.
Collyn Gilbert - KBW: Okay. That's helpful. And just one final quick question, the swapped income, does that pull through the other line?
Vincent Delie: Yes.
Collyn Gilbert - KBW: Okay. Great, all right. That's all I had. Thanks, guys.
Vincent Delie: Okay. Thank you.
Operator: (Operator Instructions)
Vincent Delie: Are there any further questions?
Operator: One moment, please. Thank you. And our next question comes from the line of Brian Martin with FIG Partners. Please proceed with your question.
Brian Martin - FIG: Hi, guys.
Vincent Delie: Hi, Brian.
Vince Calabrese: Hi, Brian, how are you?
Brian Martin - FIG: And maybe can you just talk a little bit about the loan growth the last quarter turning just by geography, which markets were stronger than others, and I realize all of the metro markets are driving most of it, but any one more so than another?
Vincent Delie: Well, we've had some good solid growth across the entire footprint. So when you look at spot balances from the beginning of the year through the 930 period, it's been fairly good across the entire company. Obviously, the largest percentage gainers, the biggest contributors, Pittsburg has been a tremendous contributor. Now, Pittsburg includes some groups that drop on the entire footprint. So ABL and the large CRE group based in Pittsburg have contributed significantly, but they are working across the entire footprint. The Cleveland area has performed exceptionally well. The team, it's a great team that got good leadership. There has been a very positive response in Cleveland, in the middle market, and we're making good progress there. Baltimore has gone very well. I would say it exceeds our expectations. We've been able to attract some very, very good talents in the Baltimore market, again, good leadership and double-digit growth there, so, very, very good. And the quality of the opportunities that we've been able to serve this, we -- Gary, mentioned in his remarks that the strategy was to try to provide us with an opportunity to go after many more prospects. If we were relegated to the community markets that we were in or we had a high saturation point from a market share perspective, we'd have been tripping over ourselves looking for good quality earning assets. So by positioning, by moving into these metro markets and positioning the company to go after thousands of more prospects, we've been able to hit our growth objectives and still maintain a good risk profile for the company. So everything seems to be working, and those people are doing a tremendous job, but the three metro markets really providing a good bit of the growth for us.
Brian Martin - FIG: Okay. Do you have a sense or can you give us some color on where the footings are in Baltimore and Cleveland today?
Vincent Delie: Yes. We don't really break that information out for you. I will tell you that the footings in those markets are not huge, that this is really a market share gain play. And like Pittsburg, where we started early on, we had a very small commercial portfolio today, it's significant. So our game plan is to do the same, roll out the same strategy in Cleveland and Baltimore and with the deep product set and very high caliber bankers we're going to go after market share, and it appears that it's all working the way we thought. We'll just keep -- we're going to stay focused on that and keep moving forward.
Brian Martin - FIG: Okay. And then maybe just -- maybe I missed, I joined a more bit late, but the margin commentary, just the outlook perspectively is found just to be modest compression. Is that just looking at the core numbers, is that correct?
Vincent Delie: Yes.
Brian Martin - FIG: Okay, all right. And then maybe a last thing, just earlier on the M&A comment, is there any sense in looking at deals perspectively, more interest on the smaller end, the larger end, I guess, where or maybe what you're seeing more opportunities today, is any different than what you're seeing over the last couple of quarters?
Vincent Delie: Yes. I think, truthfully, again, we're going to do acquisitions that position the company to fulfill our organic growth objectives. That's what we've done over the last few years. The relative size of the company that we acquired, it really -- if it's a strategic fit and really it has to be of a certain size to make sense for us above we've always set above the half billion in total assets was more appealing to us. But I think we're more focused on the strategic fit versus the size. So if a larger opportunity came along that fit strategically, we'd be very interested. We'll look at smaller opportunities if they work for us, if they help build out the delivery channel. But everything we do really is hinged upon being able to perform at a high level, drive organic growth, it has to be additive to what we've assembled and we have to hit the EPS accretion that we require in every deal in the first full year. When you look at the Maryland strategy, for example, this is a good time to talk about that. We did several smaller transactions, so OBA and BCSB and Annapolis were smaller banks, but when you look at it collectively, we're in that market today with the number nine deposit market share with just under a $1 billion in deposits and 1.4 billion in total assets. And when you look at it on a cumulative basis, while there is a little more work to do smaller transaction, I mean we're there at around 1.4 times tangible book. So what we've created in that market is a great delivery channel, we've got some good location, we've got a great team, and now we've a bank, $1.4 billion bank that we paid 1.4 times tangible book for; if we were to go out and find something of that size in a market like that it would be north of two times tangible book today. So we brought value to the table in a couple of ways; one was by being a value buyer, the second is building out the platform to drive growth for the shareholders.
Brian Martin - FIG: Okay, that's helpful. Thanks very much.
Vincent Delie: Okay, thank you,
Vincent Calabrese: Thank you.
Operator: Thank you. As this concludes today's question-and-answer session, I'd like to turn the floor back to management for closing remarks.
Vincent Delie: I just like to thank everybody for participating on the call. I particularly like to thank our management team. We have gone through several years of acquisitions that have truly transformed the company and the growth prospects for our company, all while we were facing the changes that occur when you go above $10 billion. So we did that late in the game. And I know in my comments I keep bringing it up, but the pressure from going over $10 billion, the Durbin impact, the add to staff for compliance, we've added over a hundred people in the risk management areas that's embedded in our run rate since 2008. All of that is in our run rate. And we're now at a point where we're very well positioned and our end markets provide us with good growth prospects, we're very optimistic about the future here, and really it's because of the hard work of the entire team here that's kept us in this good position. So I appreciate the time everybody invested on the call, and I look forward to the next quarter and our earnings call. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. And thank you for your participation.